Operator: Good day, and thank you for standing by. Welcome to the Algonquin Power & Utilities Corp. First Quarter 2021 Earnings Webcast and Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, Amelia Tsang, Vice President of Investor Relations. Please go ahead.
Amelia Tsang: Good morning, everyone. Thanks for joining us this morning for our first quarter earnings conference call. Presenting on the call today is Arun Banskota, our President and CEO; and Arthur Kacprzak, our Chief Financial Officer. Also joining us this morning for the question-and-answer part of the call will be Jeff Norman, our Chief Development Officer; and Johnny Johnston, our Chief Operating Officer. To accompany our earnings call today, we have a supplemental webcast presentation available on our website, algonquinpowerandutilities.com. Our financial statements and management discussion and analysis are also available on the website as well as on SEDAR and EDGAR. Before continuing the call, we would like to remind you that our discussion during the call will include certain forward-looking information, including, but not limited to, our expectations regarding future earnings and capital expenditures. At the end of the call, I will read a notice regarding both forward-looking information and non-GAAP financial measures. Please also refer to our most recent MD&A filed on SEDAR and EDGAR and available on our website for additional important information on these items. On our call this morning, Arun will provide an overview of our Q1 performance, Arthur will follow with the financial results, and then Arun will conclude with an update on our strategic plan for the business. We will then open the lines for questions, and I ask that you restrict your questions to 2 and then re-queue if you have any additional questions to allow others the opportunity to participate. And with that, I'll turn it over to Arun.
Arun Banskota: Thank you, Amelia, and a very good morning to those who've been able to join us on the call and online. I'm pleased to report solid year-over-year growth in our key financial metrics for the first quarter of the year. Q1 adjusted EBITDA was $282.9 million, a 17% increase year-over-year. And our Q1 adjusted net earnings per share was $0.20, an increase of 5% compared to last year's $0.19. You'll also note that our Board has approved a 10% increase in the dividend, beginning with the Q2 dividend payable on July 15 this year. This increase marks the 11th year of consistently increasing dividends by 10% each year. This demonstrates our collective confidence in and the resiliency of our business model. This dividend increase is supported by the groundwork that has been made down in 2020 as we expect to benefit from the addition of approximately 1,400 megawatts of new renewable generation projects that were in construction in 2020, our additional investment in Atlantica Sustainable Infrastructure and the acquisition of our interest in the portfolio of Texas Coastal wind facilities. On the regulated side, we expect to benefit from the first full year of operations from our Bermuda electric utility as well as the ESSAL water utility in Chile, which both closed late last year. Despite the year-over-year growth in financial metrics, this quarter's adjusted net earnings fell slightly below our expectations. This is primarily the result of increased costs relating to winter storm Uri and warmer than normal weather in the central region during much of the quarter. With respect to COVID-19, the company's operating results were not materially impacted by the pandemic this quarter. Generally speaking, we have not seen negative impacts from COVID on our loads at this stage as business conditions in the regions we operate in slowly return to normal. Approximately 65% of the company's workforce continues to work remotely, and we continue to employ operational measures intended to protect the health and safety of our employees and customers. Our team continues to focus our efforts on Algonquin's 3 strategic pillars: growth, operational excellence and sustainability. And we should spend some time on each of these for an update. We operate through 2 primary businesses: regulated and renewables. Both businesses have multiple levers of growth that support them and gives us high confidence in executing our growth plan. On the regulated side, one lever of growth is our organic investments and improving the safety and reliability of our mission-critical infrastructure. Our solid earnings in the quarter demonstrates the ongoing investments we are making to improve service for our customers while managing the affordability of their builds. In our central region, by the end of the quarter, we had completed the installation of 172,000 of the 182,000 AMI, or advanced metering infrastructure meters that we are installing. And we are on track to complete installation by the end of May. These meters will not only give our customers much better information to manage their uses; they will allow us to implement time-of-use diaries that will further help us to more economically balance supply and demand, providing further benefits for our customers. Another lever of growth is acquisitions. And we completed 2 utility acquisitions in Q4 of 2020: ESSAL and Ascendant. Q1 marked the first full quarter of contribution from both acquisitions. The integration of these 2 utilities into the Algonquin Liberty family has gone well, and they are performing in line with our expectations. Growing and investing in these 2 utilities is a key initiative. Our balanced approach of operating a local model with central governance continues to be a focus. As with all our previously acquired utilities, we strive to share learnings and best practices among our utilities with the aim of driving consistent improvement in our key performance metrics that drive value for our customers and investors. With New York American Water, we submitted our regulatory application to the New York PSC last year. We are currently going through the settlement process, and the hearing date is scheduled for late June. As important work continues to determine the best path forward on resolving issues related to the special franchise tax, we remain confident that Liberty is the best long-term owner of the utility, and we continue to expect this transaction to close in 2021. An important lever of growth on the regulated side is our Greening the Fleet initiatives. We continue to make investments to enhance service for our customers as we accelerate our transition to a clean energy future. I am pleased to report that we have successfully completed our Midwest Greening the Fleet initiative as all 3 projects have been placed in service and have been acquired by the Empire District Electric company. During the first quarter, our construction team at the Kings Point wind site commissioned the final wind turbine, marking the end of major construction at the 3 wind sites with a total 600 megawatts. While construction has taken over a year, the planning and development work began in earnest more than 4 years ago and had many achievements along the way. The 150-megawatt North Fork Ridge wind facility reached full commercial operations in December 2020, while the 150-megawatt Kings Point and 300-megawatt Neosho Ridge reached full commercial operations in April and early May 2021, respectively. The related closure of the Asbury coal plant in March 2020 is expected to reduce emissions by nearly 1 million metric tons of carbon dioxide as we work to generate and deliver more cost effective, diverse and sustainable energy solutions to our customers and communities. We intend to file our Missouri electric rate case with the commission by the end of May, which will include these wind generation facilities. 2020 marked the company's largest construction program in our history with approximately 1,600 megawatts of renewable energy projects that were under construction. After 1,600 megawatts, nearly 1,400 megawatts have reached commercial operations, and the remainder are on track to be completed by year end. In addition to the 600 megawatts commissioned on the regulated side, in the renewables business, the 492-megawatt Maverick Creek wind facility in Texas was completed last month, while Altavista Solar is nearing completion with over 90% of its 80 megawatts placed in service. The Maverick Creek wind facility has long-term power purchase agreements with General Mills and Kimberly Clark, and Altavista Solar has a power purchase agreement with Facebook. These 2 projects showcase our relationships with key C&I customers. The demand from C&I customers who are helping to drive an acceleration towards clean energy is expected to be an attractive source of growth for Algonquin in the coming years, and Algonquin is well positioned to help them advance their own sustainability target. At Investor Day, we spoke about our 3,400-megawatt pipeline of potential new greenfield opportunities, of which at least 500 megawatts includes our partnership with Chevron. And I'm pleased to report that with Chevron, we recently advanced 4 Permian projects, 3 in Texas and 1 in New Mexico, from the evaluation phase to the development phase under our framework agreement. This means that development activities are moving towards a final investment decision. Scale of the projects will also be defined at this stage. At our Investor Day, we included 2 PGM solar projects that were incremental additions in 2020. We have now completed acquisitions of these 2 Ohio solar development projects with an expected combined capacity of 235 megawatts, with the first 100-megawatt project just beginning construction, demonstrating the ongoing execution of our development portfolio. Moving on now to operational excellence. In a mission-critical industry, safety and reliability are always key areas of focus. Our utility response to Storm URI is a testament to our employees who work tirelessly under very challenging conditions to keep our customers and communities safe and to maintain our system reliability and resiliency. Staying on the topic of safety, I am pleased that we have passed the impressive milestone of 6,000,050 hours without a single lost time injury. Our improved safety scores also translate into financial performance, as this has led to over a 90% reduction in the number of work-related insurance claims over the past 2 years. Our efforts on work safety are being recognized as the American Gas Association recently awarded Liberty the Safety Achievement Award for employee safety for the third year in a row. The customer is at the heart of every good operational excellence strategy. In 2017, we introduced J.D. Power surveys to benchmark and evaluate our customer experience. As expected, safety and reliability is what customers value most, so it will not surprise you that this has been a key investment focus area for us. I'm pleased to report that in Q1, our J.D. Power score was up 17 points from the end of 2020 to an overall score of 703, the highest ever for Liberty. However, we know we have a lot more to do and are excited about the new digital experience we will be launching for our customers through our Customer First program. The team is making the final preparations for our first deployment, which starts in Massachusetts next week. And we will be rolling out in a phased approach across the rest of the organization over the next couple of years. And finally, we remain firmly committed to sustainability through the inclusion of environmental, social and governance values in our broader corporate strategy and day-to-day operations. I want to provide a few highlights from this year, including the recent inclusion of Algonquin shares into the S&P Global Clean Energy Index last month. On diversity, equity and inclusion, we are committed to these values and are continually striving to be better. We are pleased that Algonquin was recently recognized in the Bloomberg Gender Equity Index for the second year in a row and in The Globe and Mail's Women Lead Here benchmark. Also, at the end of Q1, we welcomed Carol Leaman to our Board of Directors. Carol brings a wealth of experience in the startup and technology space, and her knowledge and background will help strengthen the skills and diversity of our Board. With Carol's appointment, the Board composition now stands at 40% female, while our executive team is 38% female. These ratios put Algonquin amongst the leaders of diversity in the utility space. I'm also pleased to share that our Sustainalytics ESG ratings improved significantly as we continue our efforts on progressing and advancing our ESG disclosures to our stakeholders. Last year, we released our 2020 Sustainability Report, which not only outlined our progress on our ESG goals, but also provided a higher level of detail around 9 priority issues. This year, you'll see us adding incremental ESG-linked goals to our compensation program metrics. Before turning to Arthur, I want to provide an update on Storm Uri and the Midwest extreme weather event which occurred earlier this year. The severe nature of the storm was unusual in the level of impact across a very large geography. And temperatures fell to 6 degrees Fahrenheit near our Senate wind facility, lower by 9 degrees compared to the previous lowest recorded temperature in the last 100 years. Also unprecedented was the length of time that market rates were at the capped $9,000 per megawatt hour. Storm Uri presented us and other participants in the region with a significant challenge. We are proud of how our teams responded to minimize the impact on both our customers and operations. The diversity of our fleet and contracting strategies, both within ERCOT and across the rest of our geographically distributed portfolio, also served us well in helping to mitigate the impact of Storm Uri on our results. The most significantly impacted facility was our Senate wind facility in North Central Texas, which has a financial hedge in place that imposes an obligation to deliver energy. Due to icing and market disruption during Storm Uri, the facility was unable to produce the energy to satisfy the quantities required to be delivered under the hedge and was forced to settle in the market at elevated pricing. We have asserted force majeure under the hedge contract. In our Regulated Services Group, which comprises approximately 70% of our portfolio, we are diversified by modality and operate in 16 jurisdictions. Despite the extreme weather conditions, overall, our businesses performed well from an operational perspective. The utilities did incur incremental commodity costs during a period of record pricing and elevated consumption. Due to the extraordinary nature of these costs, we are working with our regulators to spread these costs over a longer period to make the impacts more manageable for customers. We do not expect any material financial impact to our regulated business from the storm. With that, I'll pass it over to Arthur who will speak to our first quarter 2021 financial results. Arthur?
Arthur Kacprzak: Thank you, Arun, and good morning, everyone. Our Q1 financial results continued to demonstrate the benefit from Algonquin's diversified and resilient business model, consisting of stable regulated utility services provided across 16 jurisdictions, a portfolio of long-term contracted renewable power assets and an extensive development pipeline. Our first quarter 2021 consolidated adjusted EBITDA was $282.9 million, which is up approximately 17% from the $242.2 million we reported in the previous year. The Regulated Services Group delivered $204.8 million in operating profit in the current quarter, which compares to $170.2 million in the same quarter last year. The improvement primarily reflects the first full quarter contribution from BELCO, our Bermuda electric utility, and ESSAL, our Chilean water utility, as both acquisitions closed in Q4 of last year. As well as from the contribution of North Fork Ridge, the first of our 3 wind facilities that was placed in service as part of the Greening the Fleet initiative that Arun spoke to earlier. Results also benefited from new rates implemented at our EnergyNorth Gas, Peach State Gas, Granite State Electric and Calpeco Electric System, but were partially offset by higher operating expenses. The Regulated Services Group was also negatively impacted by lower than usual weather in the central region for the majority of the first quarter. The Renewable Energy Group reported Q1 divisional operating profit of $96.3 million, which compares to $88.4 million in the same quarter last year. The increase was primarily due to the addition of the Sugar Creek and Maverick Creek wind facilities, the Great Bay Solar facility and the Texas Coastal wind portfolio. This was partially offset by increased costs incurred at the Maverick Creek and incremental basis cost at the Texas wind portfolio, both related to the extreme weather experienced during February. The results also include the impact of the market -- the results do not include the impact of the market disruption related to Storm Uri on Senate wind facility. The facility was forced to settle under its financial hedge at highly elevated pricing as a result of extended disruptions in the ERCOT electricity market and extreme icing conditions which impacted the operations. We view this impact as unusual and not reflective of the ongoing operations. Our Q1 adjusted net earnings per share came in at $0.20, which is up 5% from last year. Despite the increase, the results were slightly below our expectations, again, primarily due to the on average warmer than expected weather conditions experienced during the quarter and in our regulated group as well as the incremental costs partially related to Storm Uri. Moving on to provide some updates on our financing activities and progress on our 2021 capital plan. As you heard me say before, we are highly committed to maintaining our BBB flat capital structure, which we believe optimizes our cost of capital, benefiting shareholders and retaining our competitive position. The benefits of the balance sheet discipline were demonstrated this quarter as the Renewable Energy Group issued its fifth bond under its well-established financing platform with CAD 400 million on a low coupon of 2.85% for 10 years. This was also the second bond that was qualified as green by the group and the third by the company, showcasing our ongoing commitment to environmental and sustainability targets. During the quarter, Algonquin reestablished its ATM program, allowing for cost effective and opportunistic issuance of our common stock. Since reestablishment of the program last year, we have issued 11.2 million of revolving shares for total proceeds of $178 million. With respect to our capital play, during the quarter, Algonquin deployed approximately $1.9 billion of capital pertaining to previously discussed initiatives. The Renewable Energy Group completed the buyout of the Maverick Creek and Sugar Creek wind facilities from our joint venture partners as well as closed the acquisition of 3 of the 4 Texas Coastal wind projects from RWE. The Regulated Services Group acquired from our joint venture partners the North Fork Ridge wind project, which is part of our Greening the Fleet initiative. I'm glad to say that subsequent to the quarter, we completed the acquisition of the remaining 2 projects at Kings Point and Neosho Ridge wind facilities. Also subsequent to the quarter, we completed the acquisition of the 80-megawatt Altavista Solar project from our JV partner. The preponderance of this financing -- the growth of the financing for these initiatives is being funded by tax equity investments. Algonquin's balance sheet remains strong with approximately $1.5 billion of available liquidity at the end of the quarter we can take. We continue to monitor the debt and equity capital markets and expect to fulfill our remaining capital needs for the year through a combination of various debt and equity or equity-like instruments to maintain our target capital structure. Before turning things over to Arun, I'd like to provide a brief update on our 2021 guidance. As discussed, we have already delivered on our plan of adding approximately 1,400 megawatts of new renewable generation capacity, which will benefit 2021 results. In addition, we expect to benefit from the first full year of operations on BELCO and ESSAL and the Texas Coastal wind portfolio. Excluding the impact of the market disruption on the Senate wind facility that I discussed earlier, we expect our 2021 adjusted net earnings per share to be within the range of $0.71 to $0.76 as communicated previously. With that, I will now hand it back to Arun to outline our growth plans.
Arun Banskota: Thank you, Arthur. Before we close out our prepared comments this morning, I want to give an update on our growth initiatives. With society and economies working hard to minimize carbon emissions and many countries coalescing around a net zero carbon by 2050 goal, Algonquin's regulated and renewables businesses are very well positioned to contribute to and benefit from this decarbonization transition. We remain encouraged by the Biden administration's focus on clean energy in their infrastructure bill and the potential for expanded investment opportunities. Several climate bills are pending in the House and Senate, and we see exciting potential opportunities in this legislation and the administration's commitment to a clean energy economy. The potential extension of ITC and PTC credits would benefit our 3,400 megawatt pipeline of greenfield opportunities. Looking at long-term growth. Our $9.4 billion 5-year investment plan from 2021 through 2025 has identified projects that make up the entire $9.4 billion, with most of them now in operation, under construction or in advanced stages of development. This core $9.4 billion investment plan does not include any further M&A beyond previously announced transactions or any success from our 3,400 megawatt pipeline of greenfield opportunities. We have multiple levers of growth across our 2 businesses that I've spoken throughout today's call, which gives me further confidence on our ability to execute and deliver on our 5-year investment and growth plan. Before we open the lines for the question-and-answer period, we remain very excited about Algonquin's businesses and prospects. We welcome you to hear more at our upcoming Annual General Meeting. Similar to last year and given the protocols related to the ongoing pandemic, we will be hosting our AGM virtually this year. We welcome your participation on June 3 at 4:00 p.m. Eastern. In closing, 2021 has been a very productive start to the year. As we continue to execute and deliver on the company's largest construction program in its history, with nearly 1,400 megawatts of the 1,600 megawatts already placed in service. Our 3 strategic pillars of operational excellence, growth and sustainability will be a key foundation as we continue to build the business and deliver steady earnings and dividend growth, creating long-term shareholder value. With that, I will turn the call over to the operator for any questions from those on the line.
Operator: [Operator Instructions] Our first question comes from Nelson Ng with RBC Capital Markets.
Nelson Ng: My first question just relates to the Vestas blade manufacturing area. So can you just give us a bit more color in terms of, I think there were like 30 -- sorry, 83 turbines that were impacted. Did you have to like shut all of those turbines down, or do they still -- can they still partly operate? And then can you just give more color in terms of what the financial impact is and whether the downtime in Q1 and through the rest of this year would be covered by Vestas?
Arun Banskota: Nelson, good morning. With me and as of this morning, I also have Johnny Johnston, our Chief Operating Officer, and Jeff Norman, our Chief Development Officer. And I think, Johnny will respond to that question. Johnny?
Anthony Johnston: Yes. Probably the most important part out of the question is despite the impact on the turbines, we don't expect there will be a financial impact that we've got availability guarantees as part of the turbine supply agreements. And so that's going to sort of cover the financial aspects. I think from an operational perspective, the impacts at sites of Maverick and Sugar, we have plans in place and are expecting the turbines to be up and running again before the end of the year.
Nelson Ng: Okay. Are you able to give a bit more color in terms of what the -- what needed to be done with the blades?
Anthony Johnston: So we're taking a mixed approach. So in some instances we're just replacing them. And in others, we're effectively going through a repair process to have them operational. I think you're aware this is a safety-related issue, so until blades are either replaced or repaired, the turbines are out of operation.
Nelson Ng: Okay. And then my second question relates to the Senate facility and the force majeure declaration. So I presume the counterparty hasn't -- I guess, can you give some color as to whether the counterparty has accepted the force majeure declaration? I presume they wouldn't have, but that could just be their default response. But were there -- were the hedges settled. And is cash out the door and you're looking to get some back, or is it still pending?
Arun Banskota: So Nelson. Thanks. There seems to be a lot of static on the line for some reason. So to respond to your question, we have obviously submitted our force majeure to the counterparty. And obviously, since this may be turning into a dispute or potential litigation, there's only so much I can talk about. But in any case, what we have earlier talked about is a maximum $45 million to $55 million of exposure, and any litigation would obviously reduce that level of exposure.
Operator: Our next question comes from Julien Dumoulin-Smith with Bank of America Merrill Lynch.
Julien Dumoulin-Smith: Can you hear me?
Arun Banskota: Loud and clear, Julien. Good morning. How are you?
Julien Dumoulin-Smith: Excellent. Listen, I suppose -- let me start with a high-level question for you. Obviously, we've seen some M&A laid across the space at a perhaps more elevated valuation than perhaps was perceived coming into the year, especially for gas utilities. How do you think about your own positioning for M&A at this point in light of that? I'm thinking specifically here CenterPoint's gas LDC deal. But any open comments there? I know you, once again, at least put it on the table as being upside. but curious on your latest perspectives here. Are you still a buyer, maybe said differently?
Arun Banskota: And Julien, is your question particularly only for gas utilities or is it a general...
Julien Dumoulin-Smith: Broadly. Certainly the observation, at least the empirical ones are on gas, but more broadly.
Arun Banskota: Sure. So on a broader context, Julien, you are very aware that acquisition is something, one of our big growth levers. And I believe -- so in the last 20 years, we've in fact completed exactly 20 utility acquisitions, and we're always in the mix when there's discussions around M&A. To especially respond to your question, yes; we have seen elevated pricing. But again, that's -- I think that there is a lot of capital out there right now chasing targets, so I think it remains a fairly frothy market. In respect to your other question around gas LDCs, we are, as you know, in all 3 sectors, modalities: water, electric and gas. And we do look at the potential acquisition across all 3 modalities, but on the gas side we will be disciplined in terms of making sure that it meets our sustainability goals as well.
Julien Dumoulin-Smith: Excellent. Thank you. Oh, go for it.
Arun Banskota: No, no, go ahead.
Julien Dumoulin-Smith: No, I was going to ask you a little bit more detailed question as you're thinking about the latest impacts from the Biden tax efforts here. How are you thinking about that specifically to your company? I bet there's a lot of different puts and takes here. How would you frame the tax side as well as obviously the other perhaps more beneficial sides on especially direct pay, et cetera?
Arthur Kacprzak: I'll take that. Julien, good morning. So on the tax side, in general, the comment is it's obviously positive for the renewables industry in terms of everything that's proposed, both on the Biden and some of the other proposals that are out there as well. On the tax rate side, we've talked about that in the past. Basically on the tax rate, it's a flow-through for our utilities. So it's basically a neutral and probably a little bit of maybe a slight negative from the renewable side of the business, but in general, it's basically neutral from a tax rate perspective. Some of the other proposals that are floating out there, that's way too early to tell. We're monitoring it, and we'll see which one of them actually prevails.
Arun Banskota: Jeff, you might want to comment also on some of the tax proposals and how they could potentially benefit us as well on the grid.
Jeffery Norman: Yes. No, happy to. And so definitely a ton of excitement in the industry about the American Jobs Plan, in particular, in terms of the ITC/PTC extension for potentially 5 years, and also the extension of that to potentially impact storage without generation having to be co-located. Although it's a little early to tell, it's certainly exciting, and I can't help but think there's going to be positive developments that do make it through into the legislation.
Operator: Our next question comes from Rupert Merer with National Bank.
Rupert Merer: If I could start with a housekeeping question for Arthur. Can you remind us how much of a financial benefit you expect to see from the 600 megawatts of wind you'll have in the regulated utility? And maybe you can give us a little color on the EBITDA run rate changes you might see in Q2 and Q3 relative to Q1 from those assets?
Arthur Kacprzak: Most of the benefit from the 600 megawatts of generation that actually is getting put in will be through basically our PISA adjustments that will be put in place as we look to get these projects approved through rates over the next year or so.
Rupert Merer: Okay. Are you able to quantify what we could see for the remainder of the year with the PISA adjustments?
Arthur Kacprzak: Can I get back to you on that one? I can provide you a little bit more quantification if you want to follow up.
Rupert Merer: Okay. Okay. Very good. And then secondly then, more of a high-level question on organic growth. Maybe a question for Jeff. So you've come through this big growth spurt to 1,600 megawatts. Can you give us a little more color on what we can anticipate the next couple of years? And what pace of growth can we expect to come from the organic development? I know you've got a 3,400 megawatt pipeline, and we had some goals laid out in the Investor Day. Can you exceed the targets in the Investor Day, or should we look at the Investor Day as a good proxy for what we can expect next?
Arun Banskota: Well, actually, maybe turning -- before turning it over to Jeff, the first thing I would say is that we are very confident in meeting the $9.4 billion 5-year plan. Like I said in my prepared remarks, it is very front-end loaded, and many of those projects are actually already in commercial operations already. So that gives us high confidence. And again, as we said in the Investor Day and after, that $9.4 billion program does not include the 3,400 megawatt greenfield pipeline or any incremental M&A activity. So we are confident in meeting and potentially exceeding that $9.4 billion capital plan. But Jeff, do you want to add more color?
Jeffery Norman: Yes, certainly. And Rupert, you mentioned the 3,400 gigawatt -- or megawatt pipeline, and we continue to advance. We see opportunity with a number of C&I customers who have set sustainability targets and renewable targets that some need to be contracted to 2023, 2024, 2025. And if you look back at that $9.4 billion pipeline, it was fairly light on renewables in that section. And so we don't have anything that we can announce at this time, but the development team is certainly focused on originating projects to populate that prior to -- we believe the environment's right for doing that.
Operator: [Operator Instructions] Our next question comes from David Quezada with Raymond James.
David Quezada: My first question here, just on your capital plan, and appreciate the comments around the growth opportunities over and above it. I'm curious on the regulated side of things, now that the initial round of Greening the Fleet has happened, how do you see things developing on the regulated side in the outer years of your CapEx plan when the CapEx spend is a bit lower than the pace today?
Arun Banskota: The first thing I will say is that on the regulated side of the business as well, we do have multiple levers. And so when you look at some of the levers on the regulated side, the biggest one, in fact, is organic growth. And when we say organic growth, that refers to more our regular improvement in infrastructure, leading to better safety and reliability and security. And that is really the bulk of that. Then the other one is obviously is some of the M&A, and we have the New York American Water in there. And I think the third one you're referring to is our Greening the Fleet. And I'm really proud of the team to say that all of the 600 megawatts that was part of that Greening the Fleet initiative are now fully commercial and online. It was a lot of work from a lot of people on the teams to get that on. And as part of that, we also closed down our Asbury 200-megawatt coal facility and reducing our carbon intensity by almost 1 million tonnes a year. Now the Greening the Fleet initiative is something that is somewhat unique to us, I believe. We are carrying that out in our Calpeco utility as well. And we will be looking at places like Bermuda and others for some of those other Greening the Fleet initiatives as well. Does that answer your question, David?
David Quezada: It does. Absolutely. And then maybe just one other question for me. Looking at the Missouri rate case, I'm curious if you'll look to revisit certain items like revenue decoupling. Or do you prefer to just go forward with the PISA accounting that you have in place now?
Arun Banskota: Let me turn that over to Johnny.
Anthony Johnston: Yes, David. In the way that we effectively opted to go down the PISA route following the last rate case means that we're with that through certainly until 2023. There's then an opportunity for that to potentially be extended through I think 2028. And so for now, revenue decoupling is something that will have to wait in Missouri. But certainly making the most of the PISA legislation when you think about some of the investments we've been making through the central region in the last few months.
Operator: Your next question comes from Stephen Byrd with Morgan Stanley.
Stephen Byrd: Thanks for the really thorough ESG update at the beginning. It was really helpful to kind of go through everything. A lot has been covered. I wanted to perhaps go back to the potential for U.S. tax reform and focus a little bit more specifically on some corporate tax elements, the impact to you all of higher corporate tax rates, potential for things like minimum taxes, GILTI, et cetera, those sorts of dynamics. Would you mind just talking in a little more depth about those sort of corporate taxation elements and the impact to you?
Anthony Johnston: So on the tax rate, as I mentioned in my previous -- to the previous question, it's basically a pass-through on the regulated side. Maybe there's a slight negative on the renewable side. But as we look at some of the other noise that is getting proposed there, whether it's the shield or looking at whether [ beat ] remains or all the other proposals. But it's really early to tell which one is going to laid out, how they're going to interact between themselves, whether it be the minimum tax would be put in and that beat will be repealed, what's going to be creditable that gets beats. So it really, really is too early to make a determination in terms of where -- what the impacts will be. I'll tell you, on the GILTI, we're generally not impacted by any of GILTI proposals that have been put forth, but everything else, we continue to watch closely.
Stephen Byrd: That's fair. We have a lot to figure out in terms of what this is going to really look like. And then maybe just one other for me on renewables growth. You gave a thorough update. There've been a number of questions around that. When you think about kind of the biggest limiting factors or sort of risk that you think about with respect to renewables growth, curious just whether that's supply chain availability, financing, tax equity, whatever it might be, how do you kind of see -- we're obviously in a very supportive environment overall, so I completely respect that. I'm just sort of trying to think about -- we often get asked about some practical issues in growth, whether it's a shortage of people, a shortage of equipment or increased costs. Just any other color you might be able to provide on sort of what you see as some of the limiting factors.
Arun Banskota: Jeff, do you want to take that?
Jeffery Norman: Yes. No, I'm happy to. And Stephen, I think it's a great question because I think that excitement obviously comes with the downside. I'd say a couple of the stress points would be, one, there probably will be a battle for talent and resources. And we do see our location with a lot of development activities here in Oakville as being a strategic advantage. And we're able to build a good team, but we need to be cognizant of that team being very attractive to others and to keep building that. That would be one. The other one is on interconnection. There is such demand and need for renewable build-outs in the key markets. And it's always been important, but it's going to be even more important over the coming months.
Stephen Byrd: That's really -- please.
Arun Banskota: Stephen, it's really the pace. What I like to point out is that in 2020, which was normally the most friendly pro-renewables administration where we saw our largest construction project in our pipeline history -- or in our history of 1,600 megawatts. So we are obviously very excited now of all of the tailwinds we're seeing from this Biden administration. And it's really that with the scaling, the challenges are going to be across the board in terms of supply chain, in terms of permitting, speed in terms of the interconnection access, how fast that can move. So it's really going to be felt throughout the different parts of the value chain, but again, we have been very good at managing that, even through COVID last year and even through that largest construction period in our history. So we're confident that we're going to be able to manage our way through.
Stephen Byrd: That's a fair point. And these kinds of issues strike me as high-class problems, so point well taken.
Arun Banskota: Exactly right.
Operator: And our next question comes from Sean Steuart with TD Securities.
Sean Steuart: Just couple of questions. Arthur, wondering, following up on the last question, can you speak specifically to tax equity availability, how that's changed in recent months, if at all? And Arun, your predecessor used to talk about Algonquin becoming its own tax equity partner once you get that taxable position. Any thoughts on that horizon and how that impacts your funding considerations?
Arthur Kacprzak: Yes. So in terms of tax equity availability, we have not seen a constraint on our side. But part of it probably speaks to the fact that we have well-established relationships, strong balance sheet. And so far from what we've seen, tax equity is there for good projects. And to some extent, I would also say the tax equity market is to some instances even lightening up or looking at loosening some of their rules, whether it be continuous efforts looking at potentially financing those type of projects and so forth. So tax equity is there, and I think it continues to be there for strong sponsors. For the second part of your question with respect to self-monetizing tax attributes, that's something that continues to be on the table. And with respect to even some of the tax changes that are being out there, it's always beneficial to be a company that's able to generate its own tax attributes and be able to use it to offset its income intrinsically. So for us, that continues to be an option. And we also look at some of the other things that are out there. Obviously direct pay, if it ever fits for some of our projects as well. So all in all, I think positive developments in this area.
Sean Steuart: Thanks for that, Arthur. You gave a little bit of an update, Arun, with respect to New York American Water. Can you just review the hearings that are upcoming and an update on your comfort closing that acquisition in advance of the state completing its review with respect to the municipal ownership potential? Any updated thoughts there?
Arun Banskota: Sure. And look, there's obviously a lot of political noise around this. But at the end of the day, we're really focused on 2 things. The first is we continue to believe that we are the best owners and operators of New York American Water, and so we are focused very much on closing that transaction. And second of all, there is something unique in New York with regard to the special franchise tax, which is a burden on New York American Water's customers. And we've been working with different parties to try to see and make that much more equitable for our customers. So beyond that, really, our discussions with the commission have continued as usual. We have now hearings slated for late June. That's the target currently. And in the midst of that, there's been a lot of other activity on both the legislative front around municipalization studies and things of the sort. But at the end of the day, I think what is also very important to focus on is that the largest base of customer is in Hampstead. And the town of Hampstead has come out very strongly against municipalization. So I think with all of that, we do continue to have a high degree of confidence in being able to close out this transaction. Johnny, anything you want to add to that?
Anthony Johnston: I think you covered it well, Arun.
Operator: Our next question comes from Richard Sunderland with JPMorgan.
Richard Sunderland: Just 2 questions on Missouri here. Curious for the first one if you could provide more color around the proposed recovery timing and bill impact of the incremental commodity costs out of the February weather.
Arun Banskota: Sure, Johnny?
Anthony Johnston: Yes. So our normal process, we have a fuel adjustment clause where our fuel costs get passed back over 6-month period where there's a dealt to normality. Because of the materiality of the impact of Storm Uri on energy cost, I think if we would have passed those straight through in the normal fashion, it would have raised our customer bills probably north of 60% as a result. And clearly, that would have been a huge burden for them to pay. So we have filed with the commission to have those picked up over a longer period of time and to address that through our upcoming rate case. So there'll be more to come. But clearly, our ambition here is to try and find the right balance between phasing those costs out, covering our costs of managing that, but making it manageable for our customers as we go through that. So there's more conversations to be had with our regulators and our stakeholders in terms of the exact timing, but that's sort of where we are in the process.
Richard Sunderland: Got it. Thank you for the color there. And then separately around the Neosho wind facility, could you speak to the network upgrades required for that facility? And maybe just provide a little bit more color around the performance there, including if there are any kind of performance obligations owed around those wind farms in general?
Jeffery Norman: L Sure. Richard, it's Jeff. I'm happy to take that question. And referring to the [ disus 2 ] results which came out and impacting North Fork Ridge, Kings Point and Neosho, I would say that we're quite pleased with that for Kings Point and North Fork Ridge. But those confirmed that there were no upgrades for Neosho. It is an intricate process. They are indicating that there is a need to upgrade about 18 miles of line. But we are currently generating an interim interconnection agreement and operate the facility. We expect to continue doing that moving forward. And we know that there are some areas in the disus report that pointed out, but we'll continue to move forward and expect it to be resolved. In terms of financing, we have moved forward and continue to defend the project and the operation of the sale to Empire that Arun pointed out earlier. So happy to answer other questions if I didn't get right to the hub of your question.
Operator: Our next question comes from Rob Hope with Scotiabank.
Robert Hope: Two questions for me. First one just on the Chevron agreement moving from evaluation to development. Can you just maybe add a little bit more color on kind of the potential time lines we could see on those projects in the Permian? And then also just given -- how are these agreements structured? Do you have a kind of set going in price, and is there a target to return that you both agree with, just from the fact that it does seem like that a number of these projects are still a little in flex?
Arun Banskota: Sure. So let me start out, and I'll probably turn it to Jeff. But just to give you a little bit of context, Rob. First of all, we signed that framework agreement with Chevron just last year in July, and it was for over 500 megawatts. And so that was just a framework agreement that really governs our partnership. Who develops what, who takes the lead on what, all those kinds of details around our framework agreement. And so now ever since that time, we have been scooping each of their facilities and looking at what is the best technology, what is the best size, all of those kind of things, running the numbers. And now we really move from that first phase to much more of a development phase because we now have a much higher level of confidence that on these 4 sites, we're going to be able to come to an agreement on all the things like pricing and all those kinds of things. At the end of the day, obviously both parties need to be able to have confidence that the project we're doing meets both the hurdles and other requirements on both sides, and that's what we're working towards. We are also working towards what we're calling an agreement of final investment decision, which would then start construction on these projects. And we're hoping to get to that sometime towards the end of the year or so time frame. Jeff, anything you can -- any further color on that?
Jeffery Norman: I think you covered everything except maybe one item, which is just a little bit of color on the discussions in terms of returns. And so there's certainly been the exchange of the expected cost of the facilities and the returns that would be required makes sense for both parties. And so those will be confirmed through the final investment decision, but the discussions around those have gone well.
Robert Hope: All right. I appreciate the color. And then just...
Arun Banskota: And just to give you some more comfort around that. We've started procurement activities in order to safeguard -- safe harbor and those kinds of elements. So we remain -- both sides remain fairly confident that we're going to be able to execute on that framework agreement.
Robert Hope: Okay. And then maybe just a follow-up question just in terms of kind of capital out the door for Q1. The MD&A says that you've done $1.9 billion of CapEx so far this year. Cash flow statement's quite a bit below that. As we look through the rest of the year, how are you thinking about your cash requirements to fund the rest of the capital plan to get you to that $4 billion to $4.5 billion, as well as is there a timing mismatch here, or is it mainly just related to the accounting treatment and tax equity?
Arthur Kacprzak: The simple answer, it's an accounting treatment and the real reason is how these investments actually have been held prior to being bought out since we held them as a joint venture. We were joint venture partners in these investments, so supplying details to become an equity buyout as --. So what we're bringing on to our balance sheet through the cash flow statement is really the net investment that comes in. So these projects have some construction financing that was brought on, on a net basis, and we will look to repay that construction financing through our long-term bond platforms and overall in accordance with our capital structure. I don't know if that's responsive or helpful.
Operator: Next question comes from Andrew Kuske with Credit Suisse.
Andrew Kuske: Maybe 2 related questions. When you look at the construction program you did on the renewable side in the last little while, what do you do for an encore, and what were the lessons learned from the program?
Arun Banskota: Great question, Andrew. I'm going to pass it over to Jeff.
Jeffery Norman: It is a great question. It is. How do you exceed the 1,600 megawatts and all the 2020 with COVID. Hopefully we will not have to repeat a COVID construction year of that magnitude. But I do think there's a great deal of opportunity going into this 2022, 2023, 2024, just when you look at the C&I customers and the demand. And we've already seen a push up in C&I PPA rates as that demand starts to deal with the supply of product out there to beat it. I think it's going to be pretty exciting going forward, but it won't be as exciting as 2020.
Andrew Kuske: Probably more exciting.
Arun Banskota: Exactly. And I think it's really that combination of our C&I strategy, coupled with our 3,400 megawatt greenfield pipeline. And I think that's what we're really excited about.
Andrew Kuske: And then maybe just a follow-up to that. How do you think about pipeline replenishment? And clearly in the year-to-date, there's been a lot of turmoil as far as market prices go in renewable stocks. So what are you seeing on pipeline replenishment opportunities, in particular among, say, private developers? If you could give us color on that, that'd be great.
Jeffery Norman: Yes. So there has been a consolidation of some of the larger developers, which are pushing forward wind projects. So we think it's important in our 3,400 megawatts and to grow that 3,400 megawatts. And two, make sure that there's a focus on wind because there's a smaller subset of developers to acquire mid and late-stage projects. On the solar side, we're actually still seeing quite a robust pipeline of opportunities. And so I think going forward on solar, we'll probably see more acquisition and greenfield, and on wind, it'll be slightly skewed towards greenfield from acquisition.
Operator: Our next question comes from Naji Baydoun with IA Capital Markets.
Naji Baydoun: I appreciate it's a bit over time, but just a couple of quick questions. Can you just remind us for your 2021 guidance, how much is baked in for the New York American Water acquisition?
Arthur Kacprzak: So when we did put out our guidance back at Investor Day, we did provide a range and a guidance and some assumptions with respect to that guidance. So with respect to our assumptions, we did factor in that on the upper range, we would consider a closing of New York American Water that happens around the third quarter or so. And on the lower range, one of the factors was a later in the year closing. Now for both, those weren't the only assumptions, so I wouldn't read into that as the entire range difference. We had other things such as we had assumed on the low end COVID impacts similar to this year, and certainly obviously it hasn't taken place. So there's various assumptions that do go into that range.
Naji Baydoun: Okay. I appreciate that, Arthur. Just another quick question more on sustainability and ESG. I guess now with Asbury closed down and all the ongoing renewable projects here, you're well on your way to achieving 75% renewables target by 2023. I guess you talk about C&I appetite for clean energy, which is being a tailwind for growth, but I'm wondering about your own targets. Maybe you can talk to us about potentially, if you think about revising that target going forward and what the implications would be in terms of new renewable buildup?
Arun Banskota: Naji, thanks. Great question. Sustainability is one of our 3 pillars. We certainly focus on that a lot. And just to tell you, we are already starting from a very good base. Our carbon intensity, when you look at that per dollar of revenue is at 0.0017, which is well among the lowest among our peers in the industry. And even when you look at the fact that when we acquired Empire District, that came up with some thermal assets. Just since 2017 to now, we have reduced that carbon intensity by 31%. And so some of the other goals we have are that 75% renewables by 2023, which is a pretty aggressive goal, but we are confident in meeting that. And as we start now meeting some of the goals that we had set out in past years, targeted towards 2023, we are internally working towards, okay, what are the next set of goals? So keep your lines open. We are working on those, and we will be coming out with more goals as we continue to meet and exceed our current set of ESG goals.
Operator: There are no further questions in queue at this time. I'll turn the call over to Arun Banskota for closing comments.
Arun Banskota: Thank you very much for all of the questions. Thank you for joining the investor call. Again, we remain extremely excited about the Algonquin platform and all of the opportunities in front of us. And with that, I'll turn it over to Amelia for the disclaimers.
Amelia Tsang: Thanks for joining us today. Our discussion during this call contained certain forward-looking information, including, but not limited to, our expectations regarding earnings, capital expenditures and commercial operations. This forward-looking information is based on certain assumptions, including those described in our most recent MD&A filed on SEDAR and EDGAR and available on our website and is subject to risks and uncertainties that could cause actual results to differ materially from historical results or results anticipated by the forward-looking information. Forward-looking information provided during this call speaks only as of the date of this call and is based on the plans, beliefs, estimates, projections, expectations, opinions and assumptions of management as of today's date. There can be no assurance that forward-looking information will prove to be accurate, and you should not place undue reliance on forward-looking information. We disclaim any obligation to update any forward-looking information or to explain any material difference between subsequent actual events and such forward-looking information, except as required by applicable law. In addition, during the course of this call, we may have referred to certain non-GAAP financial measures, including, but not limited to, adjusted net earnings, adjusted net earnings per share or adjusted net EPS, adjusted EBITDA, adjusted funds from operations and divisional operating profit. There is no standardized measure of such non-GAAP financial measures, and consequently, APUC's method of calculating these measures may differ from methods used by other companies and, therefore, may not be comparable to similar measures presented by other companies. For more information about both forward-looking information and non-GAAP financial measures, including a reconciliation of non-GAAP measures to the corresponding GAAP measures, please refer to our most recent MD&A filed on SEDAR in Canada and EDGAR in the United States and available on our website. And that concludes our call. Thank you for joining us.
Operator: That concludes today's conference call. You may now disconnect.